Operator: Excuse me, everyone we now have our speakers in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of today’s presentation, we will open the floor for questions. At that time, instructions will be given if you would like to ask a question. I would now like to turn the call over to Mr. Cribbs. Sir, please begin.
Richard Cribbs: Thank you, Katie. Good morning. Welcome to our first quarter conference call. Joining me on the call this morning are David Parker and Joey Hogan along with various members of our management team. This conference call will contain forward-looking statements within the meaning of the Private Securities Act of 1995. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those contemplated by the forward-looking statements. Please review our disclosures and filings with the SEC, including without limitations, the Risk Factors section and our most recent Form 10-K and Form 10-Q. We undertake no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. As a reminder, a copy of our prepared comments and additional financial information is available on our website at ctgcompanies.com under the Investor Relations tab. Our prepared comments will be brief and then we will open up the call for questions. In summary, the key highlights of the quarter were: our asset-based divisions’ revenue, excluding fuel, increased 15.4% to $133 million due to a 2.1% increase in average tractors, a 12.1% increase in average freight revenue per truck, and an increase in our refrigerated intermodal freight revenues. Versus the year ago period, average freight revenue per total mile was up $0.088 per mile or 5.9% and our miles per truck were also up 5.9%. Freight revenue per tractor at our Covenant Transport subsidiary was up 14.5% over the prior year quarter, while our refrigerated subsidiary, SRT experienced an increase of 10.9% and our Star Transportation subsidiary experienced a decrease of 3.3%. Compared to the year ago period, the asset-based divisions’ operating cost per mile, net of surcharge revenue were down approximately $0.019 per mile, mainly due to lower net fuel cost and reduced maintenance and capital cost. These decreases were partially offset by higher employee wages, group health insurance and casualty insurance. The asset-based operating ratio was 92.7% in the first quarter of 2015 compared with 100.2% in the first quarter of 2014. Our Solutions logistics subsidiary decreased revenue by 6.9%. Although other operating expenses favorably decreased as a percentage of revenue, we experienced unfavorable increased purchase transportation expense percentage, resulting in operating ratio deterioration of 170 basis points to 96.6% from 94.9% in the year ago quarter. Our minority investment in Transport Enterprise Leasing contributed $1.4 million to pre-tax earnings or $0.05 per share. Since December 31, 2014, total indebtedness, net of cash and including the present value of off-balance sheet lease obligations, has decreased by approximately $29 million to $198 million. The average age of our tractor fleet continues to be very young at 1.7 years as of the end of the quarter, down from 2.0 years a year ago. With available borrowing capacity of $43.8 million under our revolving credit facility, we do not expect to be required to test our fixed charge Covenant in foreseeable future. The main positives in the fourth quarter were: one, significant improvement in the operating profitability at each of our three asset-based trucking subsidiaries; two, a 5.9% increase in average freight revenue per total mile; and a 5.9% increase in average miles per truck versus the same quarter of 2014; three, a sequential increase in our professional driver employee headcount; four, decreased operating cost on a per mile basis; and five, a decrease in our total indebtedness. The main negatives in the quarter were: one, increased cost of our casualty insurance related to higher severity of accident; and two, the reduced operating profit of our solutions brokerage subsidiary. Among asset-based service offerings, since the end of the fourth quarter, we increased capacity allocated to each of our three subsidiaries: Covenant Transport, Star Transportation and Southern Refrigerated Transport. Our fleet experienced growth to 2,722 trucks at the end of March, a 57 truck increase from our reported fleet size of 2,665 trucks at the end of December. Our fleet of team-driven trucks averaged 928 teams in the first quarter of 2015, a 1.8% sequential increase over 912 teams in the fourth quarter of 2014. Therefore, we increased our overall driver count by approximately 75 drivers during the first quarter of 2015. Freight yields for the first three weeks of April 2015 continued to outpace the prior year. Although at a lower percentage increase than we experienced in the first quarter thus far utilization continues to outpace prior year results primarily due to the increased mix of team freight. Year-over-year, rate per total mile increases have accelerated above the percentage increase we experienced in the first quarter partially due to the improved mix of freight towards more team expedited and partially due to prior year’s rate increases from customers that went into effect after the end of April 2014. Thank you for your time and we will now open up the call for any questions.
Operator: [Operator Instructions] Our first question comes from Brad Delco from Stephens.
Brad Delco: Good morning, David. Good morning, Richard.
Richard Cribbs: Good morning, Brad.
Brad Delco: Richard, I was trying to write-down what you are just saying but – and I apologize I missed it, can you just repeat the comment you said about what had accelerated thus far into April?
Richard Cribbs: Yes. The year-over-year rate per total mile increases have accelerated above the percentage increase we experienced in the first quarter, so that was 5.9%. So, it’s above the 5.9% that we experienced in the first quarter.
Brad Delco: Okay, got it. And then Richard another question I had for you, when I look at some of your commentary about your operating cost, your salaries, wages and benefits line per mile was up, total mile was up about 1.9%, do you feel like that’s a good number going forward or do you expect to see any additional driver wage fluctuations going forward in the business?
Richard Cribbs: Yes, I think the driver pay piece of that was actually up a little bit more than that. And I expect that to continue. There will be a time that we will need to increase driver pay additionally. We have some kind of neat targeted ways of improving driver pay coming up over the next few months and early weeks that we haven’t really announced yet to the drivers, so won’t go into those – into any detail. But we are excited about those and that will increase the cost a little bit more as well.
Brad Delco: Got it. And then just wanted to focus on your commentary about the back half of 2015, I think the tax rate you don’t expect to see meaningful earnings growth, can you just put some more context around that, I mean do you feel comfortable saying you think you could grow earnings in the back half of the year yet or how should the Street be really digesting that because it appears like it’s may be misinterpreting it a little bit?
Richard Cribbs: Well, we did add the word meaningful from the prerelease that did not have that. So I guess you can say we are becoming a little more favorable towards that. We have gotten through certain meetings with certain customers that we will continue those in May and June. It does – what it doesn’t say is that we expected to go – to decrease. So I think the Street can read into with a need to read into it. But, again because we haven’t got through those May and June meetings that are particularly important for determining how much peak business we have, not just at the asset based subsidiaries, but also at solutions, which was quite meaningful in the fourth quarter last year. We are still going to keep that cautious statement there until it probably – hopefully, we will have enough information we can be more direct with what’s going to happen in the fourth quarter after we get through the second quarter release.
Brad Delco: And then maybe David my last question for you, can you just generally speak about what the freight environment feels like thus far in April. And then maybe specifically, what’s really driving the team demand if capacity isn’t as tight as it was a year ago and does that say anything specifically about your exposure to the omni-channel you guys have been talking about for awhile?
David Parker: Yes. Brad, the answer is yes, on those. There is – as I look at April as it compares to definitely 12 months ago and two months ago on how freight feels, there is a slowdown a little bit of freight. But kind of what we are doing is basically hitting our numbers internally instead of blowing the numbers out. We are hitting the numbers. So I am very satisfied and happy with that. We are basically loading our trucks everyday, but there is not excess amount of freight that is sitting there. That said, our expedited is loading well. I mean it’s part of that statement I just made that we are loading them every day, but it is – and it’s interesting even there and maybe a little pause that’s happening that the expedited side is still quite strong. And I think it has something to say with the markets that we are in and I think it has a lot to say also with the supply chain inventories that they are operating under. And so our teams are – the expedited side is really going quite strong.
Brad Delco: Do you think the growth in that sort of omni-channel business is higher ‘15 versus ‘14 and ‘14 versus ‘13?
David Parker: Yes.
Brad Delco: Is the growth rate higher?
David Parker: Yes. It’s continuing. Yes. It is continuing to increase and year-over-year and in the last couple of years. And we expect that to continue to increase. And again, it just plays into our expedited side of our business very nicely. But yes, we have a lot of opportunities out there that we brought on as well as a lot of opportunities out there that we are in the process of bringing on.
Brad Delco: Well, guys thank you for all the time and thanks for the great color.
David Parker: Thank you, Brad.
Operator: [Operator Instructions] Our next question comes from Tom Albrecht from BB&T.
Tom Albrecht: Hi, guys. Good morning, everyone. Richard, I wanted to just kind of clarify a couple of little expenses here. So the depreciation now, it looks like it’s going to be about $4.5 million a quarter before gains, is that a number you are comfortable with or will it grow even from there?
Richard Cribbs: I think it will be just slightly lower than that actually. And I think that will continue throughout this year and be fairly even. Although I do believe that the gains will be a little better than the $100,000 gains that we had in the first quarter, I believe they will average between $600,000 and $900,000 range, between $600,000 and $900,000 per quarter going forward for the next three quarters. Our proceeds were only about half of what they were last year. Of course, last year in the first quarter, we were selling off some trucks that were underperforming from a certain vendor at that time and so we were recorded to losses at that time. But anyway proceeds were down about half of what they have been each quarter in recent quarters.
Tom Albrecht: Okay. And then the TEL, there is some seasonality that I was really surprised how big that contribution was at almost $1.4 million, the equity income, do you have any thoughts on that going forward?
Richard Cribbs: Yes. It was a little bit bigger than what we are kind of on a run rate for. If you looked at – fourth quarter was down a little bit from what we typically do and so I think that was kind of a timing issue. When you talk about part of that business is related to truck and trailer sales. And then the other piece of it’s around equipment leasing. And the equipment leasing run rate is going to continue to increase. We are seeing a nice increase in that. That was part of the increase that we saw in the first quarter. And I believe that will continue to increase over the entirety of this year and hopefully, into next year. The truck and trailer sales piece of that was a little heavy in this quarter. So I don’t necessarily expect that in the next few quarters, but we should be above $1 million each quarter and our portion of that income.
Tom Albrecht: Okay. And then, David how is SRT performing, I know it’s still pretty lagged last year the margins of the other two divisions that represent a big opportunity this year, so what kind of margin improvement and also any demand commentary you can give on the refrigerated space?
David Parker: They are – they have made some great headways Tom. We basically have got them from over 100 OR in the first quarter of last year to a little bit lower than mid-90s in the first quarter this year. So they are making some nice headway there. And I think that SRT, from a freight standpoint, the refrigerated side is doing pretty well. There is a lot of areas of the country that there is may be some of the capacity. So we haven’t seen the refrigerated side really go down that much. Yes, a day here, a day there, but it’s – I am very happy, very pleased. And there is – we are about halfway of where we think that we will get SRT to this year. And I think over the next – the rest of this year, the next three quarters, I think we will continue to bring them down to what we are closed, if not at close to what we are -- have been in the past, what we are used to SRT operating at. So we would make some great strides there.
Tom Albrecht: Okay. And then lastly, just kind of going to Brad’s demand questions in that, the market is so obsessed with every uptick and downtick with freight and all that, but are you detecting David, just any change in the demand outlook from customers, I mean are they more cautious on the economy in general, just any insights there?
David Parker: Yes, no. Our customers – all of our customers whether it’s dry or refrigerated, it’s still very concerned. And I think a lot of it – they have been burnt so much over that last two years that I mean, our rate negotiations are going extremely well. Our customers are working with us and we are not losing freight and those kind of things I could not ask for better relationships with the customers. Now on the expedited side, there is no doubt that we got – we really got something that they need from a team expedited standpoint. But they are working with us. And I sense that if we have an area of the country that is where there is some freight in as we call our customers, they are definitely going out of their way to attempt to help us on that particular day. So we are in good shape from a customer standpoint and very satisfied with that. And I think a lot of it has to do with the products that we have and the segments that we are involved in and then how much they have been hurt. I think that’s first quarter, I think there is GDP. I mean I think we don’t have a good number. I think it’s going to be a ugly number, and I think that’s just the environment that we are operating in. I could almost reverse that and say here is the trucking industry that in my opinion has probably got a 1% GDP and we are posting these kind of numbers, it’s pretty good industry. And in order to help us if it gets up to 1.5%, I mean, that’s about what we are starting to think about.
Tom Albrecht: Right. Okay, well that’s helpful, David. Thank you.
Operator: Thank you. Our next question comes from Jason Seidl from Cowen.
Matthew Elkott: Good morning, gentlemen. This is actually Matt for Jason. If I may go back to the second half outlook commentary, can you elaborate on what needs to happen as far as trends and pricing in the second half for you guys to have some upside to the cautious commentary you have made?
Richard Cribbs: Well, I think one thing is if our truck count continue to grow, we are going to have more capacity to make available to these important, let’s call it, e-commerce and peak customers that are searching for time sensitive, quick delivery freight across long distances. And right now, that has been the case. We have been able to grow that, although the last three weeks, I will say that the trucks have basically stayed the same as what they were at the end of March. So, we haven’t seen growth in the first three weeks of April in our team count, but it’s up higher than what we expected it to be at this point anyway. So, we are still very happy with that. The more that we can grow that, the more ability we have to provide that capacity and that would give us some potential upside, even if we are able to get the same kind of strong rates we got last year from the large LTL carriers, etcetera. And in addition, there is a few things we know that we have as a good partner to our LTL carriers that we have gone back to them and said how do you know this that you had in place that included us was a little bit much. You didn’t necessarily need to have these many trucks kind of set aside for running this type freight. They didn’t run with good utilization that we gave you by almost as a dedicated type truck. And instead, if you let us keep that truck, we believe we are going to be able to move it more and give you even better capacity as you need it for pop up stuff. And so I think that would be basically a breakeven kind of issue for us on those trucks. So, I don’t know – there is a lot that goes into that question, Matt, and we are feeling better about – because of the kind of rate increases that we know that we are achieving through the first part of the bid season, where it’s actually getting close to the end of the season that we feel good about the back half of the year. It’s just that was – those were pretty big numbers we posted.
David Parker: Maybe I will also update, Matt, another side of that is what do we all think that the Christmas season is going to do and is it going to be up over last year, is it going to be up appreciable? That’s the wildcard that no one knows. I do think though that e-commerce is going to continue to grow. And so I think that it’s going to grow a bigger piece of the pie than it was 12 months ago or 6 months ago during this last peak season. So, that’s encouraging. It’s just that. And I think the word meaningful that Richard was using is probably a correct word that we are getting more confidence in it. We have had three or four conversations now and meetings with all of our peak suppliers, customers. And well, I think that the opportunities are going to be there for us and we are actually nailing them down. So, I am almost to the point that it’s going to get close to just saying what is your take on Christmas? And if your take is going to be a blow-out Christmas then that’s going to help us. If your take is that the peak season is going to be similar to last year, then we are probably right kind of where we are at. So, that’s kind of the way that we are looking at it.
Matthew Elkott: No, I understand that’s a very broad question and your commentary is very, very helpful. Thank you very much for that. Now, my other question is on the balance sheet, you guys paid some good deal of debt in the quarter. Do you anticipate continuing to do that in the coming quarters?
Richard Cribbs: Yes, we do, Matt. The operating cash flow that we expect over the next three quarters as well as the CapEx being, again, I think of giving guidance $55 million to $65 million on CapEx for the year basically equaled the depreciation. It’s going to allow us continue to pay down debt with operating cash flows. Our debt to capital ratio right now is the low as it’s been probably we are 15 years. And I believe that we will be able to continue to de-leverage, which is a starting thing for us and gives us more flexibility. That’s assuming of course and not – I am not trying to alert anything just that it just assumes there is no other transactions or anything like that.
Matthew Elkott: Got it. And finally, Richard, on the fuel hedging front, you guys had a $3 million negative impact related to hedging, do you anticipate any change to your hedging practices going forward?
Richard Cribbs: It’s a good question. We already have in place. So, we had 25% of our fuel purchases hedged in the first quarter of ‘15 and that resulted in a $3 million hedge loss. I will say that those hedges were basically the fuel repurchase under those hedges were still priced a little more than $0.20 a gallon below what we paid last year. So, you did see our net fuel cost line improve, even with having that much fuel hedged at unfavorable prices. As the year goes on, we do have 25% of our fuel hedged in place already that we purchased long ago for the rest of this year as well as all of ‘16. For 2017, we have discussed and probably will change our policy a little bit only to the extent that we have currently 15% of our fuel hedged in ‘17 and probably won’t go above 20% on that number, but each year, from ‘14 to ‘15 it’s more than $0.20 per gallon improvement from ‘15 to ‘16 it’s about $0.25 per gallon improvement over ‘15 and then in ‘17 it’s down quite a bit more than that for what we have hedged for the 17 gallons. So, we will continue – we should continue to see improved pricing in fuels and then with the fuel economy improvement that we are still achieving we should still see fuel decrease overall on P&L.
Matthew Elkott: Great, very helpful. Thank you very much gentlemen.
Richard Cribbs: Thanks, Matt.
Operator: Thank you. Our next question comes from Reena Krishnan from Wolfe Research.
Reena Krishnan: Hi, good morning. First of all, I really apologize if you may have already talked about this. My phone dropped a couple of times, but just kind of going back to your guidance on the second half. Last year, just given some of the exposure you had to the West Coast ports and given how you guys have changed how you are operating and how you are positioned in the market, is there anyway that you guys could maybe parse out or give us a sense of when you look at the improvement that you saw in earnings and to your margins last year, how much of that was kind of the urgency around the West Coast port situation versus the demand you saw related to expedited capacity and you are growing e-commerce exposure. Is there anyway that you could maybe give us some color in terms of just understanding better the comments on the second half?
David Parker: Reena, it’s impossible.
Reena Krishnan: Okay. No, I understand it’s a tough question, but just wondering, okay.
David Parker: Yes. I mean, we sit around rooms trying to figure down our sales and there is – and tell you know what they ship – they didn’t do, I mean it’s impossible to figure that out and how much went to our LTL customers, whether the port, where those are the containers that went to our LTL customers and it’s just impossible.
Richard Cribbs: I will say the West Coast ports didn’t seem to have as much – and they definitely didn’t have much of an impact compared to what the e-commerce growth has. The first quarter, we all expected to see a big boom after the port situation got taken care of and instead, we really just never saw that. There was some tightening that it didn’t feel like a natural disaster kind of situation where all of a sudden, freight just boomed out of the West Coast and that didn't happen at least not from an expedited standpoint. And instead, even with that, you saw our utilization improved 6%, etcetera. So freight was still really. Our earnings were still really good. And there was really I would say almost no impact from the West Coast situation. And David was agreeing with that.
Reena Krishnan: Thank you. That’s really helpful David and Richard. The question – the comment that you made, Richard, about pricing accelerating so far quarter-to-date on a total mile basis can you tell us, are you noticing anything different in terms of the pace at which the discussions are happening or is it kind following a similar pattern to last year or shippers kind of trying to close the discussions earlier and lock in that capacity, can you give us some color on that?
David Parker: As I said pattern, Reena, because it’s all of ours or our major, major accounts are basically on one year kind of contract agreement that we deal with. And so yes, all those have been basically the way it has been for quite a few years. And that April, May timeframe is when we do, I don’t know probably 70% of them by – in the second quarter, anyway. So it’s a big quarter for us from a rate movement standpoint.
Richard Cribbs: So most of those will become effective really after today, really April 15 through June 1 is when most of those new rate increases become effective, which is why we pointed out that the increase or the accelerated amounts that we are seeing in the first two weeks of April is really related to the rate increases we got last year that went into effect after April. They are just coming around to this year, plus the freight makes to additional expedited freight probably from e-commerce growth at a faster pace than by far, faster pace than the GDP growth.
Reena Krishnan: Okay, great. And then last question and I apologize if you may already have commented on this, did you mention anything about where your – if you are planning to implement another driver wage increase sometime either before the second half or are you kind of following sort of an incentive program maybe in doing the wait and see to see what’s necessary?
Joey Hogan: Hi Reena, this is Joey. We are, right now of all our products, the only things we have decided on is in the expedited side, the expedited team side. So, you will – we are going to have some of that in the second quarter, refurb product and our dedicated products are kind of taking the wait and see type approach right now. We have been able to grow the fleets to the extent that we don’t feel it’s quite necessary, but we are watching it, but we have to make on the expedited side and keep fueling that product.
Reena Krishnan: And how much of the increase that you are planning to push through, is it similar to last year or is it more?
Joey Hogan: We haven’t announced that yet, so really don’t want to [indiscernible] that will be and we are kind of thinking about kind of similar to what we did last. We did two phases last year on the expedited side. I think we will do – we will end up probably to be doing the same thing this year. So actually, it starts – we will start talking about changes this around today. And we are going on over the next three weeks just some different news for that. So it will be – I think it will be similar to last year, just depends what capacity situation is and how we are able to fill and grow trucks as best we can.
Reena Krishnan: Okay, great. Thank you for your time.
Operator: [Operator Instructions] Our next question comes from Donald Broughton from Avondale Partners.
Donald Broughton: Good morning gentlemen.
Richard Cribbs: Hi Don.
David Parker: Hi Don.
Donald Broughton: Congratulations on yet another outstanding quarter, you have just been in raise, been in raise, been in raise, that’s a pleasant – got to be a pleasant experience for you. I know it is for your investors and for us following you. You have delved into most of what I wanted to talk about, but I continue to see the average monthly miles per truck continue to improve, can you give us just some insights into when we are looking at this quarter, we are looking at the ongoing trend, how much of it was driven by weather, how much if it is driven by more teams, how much of it is driven by the relaxation of the 34 hour restart of hours-of-service, how much it’s the marketplace and opportunities, demand, how much of it’s technology and the ongoing initiatives you have on technology and optimizing routes and how much of it’s just your operating guys figuring out how to get your lanes more in balance. I know that’s a long list of things, but I also know that all of those are at play, plus probably some other things I didn’t mention, can you give us an idea waiting what is allowing you to continue to drive such great improvements in utilization?
Richard Cribbs: Well, I have got Paul building a spreadsheet on that right now.
Donald Broughton: So if you need some help, let me know?
Richard Cribbs: On the hours of service, just one of those, we think that is, at most, gave us an extra percent. Bigger portion of this is related to the team mix being up to 34% from 29%, 30% last year. That’s a larger piece of that and you can probably calculate that out pretty easily. And then, we are doing some neat things related to optimizing our lanes and networks and how we get into and have the fuel stops and where exactly the paths that we take to get into the shippers and now the shippers and those types of things to, so we are seeing some improvement from all of those. Cutting it up and giving percentages, I wouldn’t be able to do. I will say that weather was a little better and especially in March this year versus last year. And so we do believe that was one of our better month on a utilization standpoint year-over-year. However, I think that is also causing us what we are seeing in April. I don’t know I haven’t seen many of our peers or analyst talk about that. But last year, the weather was horrible in March, especially in the last three weeks. So there was a lot of freight movement in the first three weeks of April. And I believe that that’s similar to what we are feeling as people look at their year-over-year numbers that April isn’t as strong as it was the March numbers on a year-over-year basis and people are feeling like it’s a bit of lull, although we are still seeing increases for our company.
David Parker: It is more fluid.
Richard Cribbs: Yes. And I think that weather situation helped last year’s second quarter and it’s probably keeping us from or as an industry keeping the industry from being able to beat those numbers for the most part.
David Parker: I think too Don, a couple of other things. Last year, SRT was more beneficial [Technical Difficulty]. So it’s comparisons a year ago, it is favorable. It’s still not as high as number one. Number two, I want to make sure if I understands that the 5.9% is not all mix. The team’s utilization is up very, very nicely. So yes, we have more, but the teams we put on are operating better than they were a year ago. So that’s a key metric for us internally as we think about how we are doing, if we can wish grow teams, just we will be growing teams that’s fine, where you are moving them, because you know at the end of the day, if you are not moving the teams, they will not stay. So that’s what – that’s really one of the things we are really, really excited about is being able to move those at better miles per truck. Actually, we did a little dig in, in the first quarter team utilization was the best quarter in 18 years. So you got to go back in the booming 90s and our team utilization was better than it was back in the period of time. You got to go way back there to find first quarter better than it was in the first quarter. And so that’s saying something between e-logs and changing markets and things of that nature and our hours-of-service changes and all of that, that’s a pretty – it’s a pretty exciting metric for us, can’t swallow it as we think about it, but it was big. And then lastly, I think as we go on, as we go forward, we completed our last company on the TMW conversion last year in the first quarter with SRT. Being able to have a whole enterprise on one system, I don’t know we talked about baseball analogies, so David is good at that. I would say we are probably somewhere between – we are around first – we are around second base, I would say for the group as far as being able to optimize opportunities inside the group across enterprise. And I think that will only improve. And that’s going to help our utilization meaningfully, give our drivers better options as far as driving options. And so I think that as we continue to narrow down opportunities and learn and grab those efficiencies, I think it’s going to help us continue to drive the business, drive service, drive utilization because this just comes with knowledge and time and then having the right people and the right skill sets to be able to help you analyze that and then actually do something about it. And so that’s – there is some in there, I can’t quantify any of this, but this is some points that I believe that have been impactful in our utilization side.
Donald Broughton: Well, I just normally, I watch carriers they are trying to push up their total, what they are getting on a loaded mile basis, they are trying to manage their deadhead, they are trying to manage their miles per truck to obviously achieve the best revenue per truck per week they can, but normally, there is puts and takes. They get a little bit higher rate by running a few more miles deadhead to get to the next better paying load or they get paid a little bit less to run more miles, because it’s more utilization, but it’s because they took a little lower paying – normally there is some puts and takes between those three metrics and it’s just I think it’s both equally interesting and impressive that you have gotten loaded rate per mile going up so strong, deadhead is coming down and miles per truck are all going up, all three at the same time. It’s a bit of a trifecta and...
Richard Cribbs: As well as links of all coming up.
Donald Broughton: Right, exactly. And so you put all of those together and you got – what’s the secret in the sauce here and so it’s impressive and noteworthy. One quick kind of a simple, I don’t know it’s off the top of my head, but I don’t, accounting question. Richard, how are your – the fuel surcharge hedging, how do you run that through the income statement?
Richard Cribbs: The fuel surcharge hedging....
Donald Broughton: So the losses, the losses just end up being – the $3.1 million, does that just end up being a higher fuel expense or what...
Richard Cribbs: Yes, it is down in fuel expense as it just adds to what we actually paid at the pump.
Donald Broughton: So, if we were not for the fuel hedging losses, the $31.8 million would be $3.1 million lower?
Richard Cribbs: That is correct. Yes, it would have been $28.9 million, instead of $31.9 million.
Donald Broughton: Great. Like I said, it’s kind of a housekeeping thing that it makes it easier to model on an ongoing basis. Thank you very much and then I will someone else have the floor.
Operator: Thank you. Our next question comes from Todd Fowler from KeyBanc Capital Markets.
Todd Fowler: Great, thanks for taking my question. Good morning, everyone.
Richard Cribbs: Good morning.
Todd Fowler: David, good morning, I guess, I just wanted to follow up. There has been several comments at this point on kind of what the demand environment looks like and I think from your seat you guys have a very good view across a couple of different businesses, and I think Tom is exactly right, there is a bit of an obsession in kind of what’s happening with freight activity. So, I just kind of want to make sure I understand what you are seeing and what you are saying about April. Is it more of a comparison issue with what you are seeing on a year-over-year basis or is your sense that there is a little bit of a slowdown in freight activity? And then if you could also parse it out by the businesses, expedited and maybe within e-commerce, refrigerated, and then on the brokerage side, I think that would be helpful?
David Parker: Yes, I think there is a couple of things. I think it is year-over-year. As Richard said, I think that we can’t take lightly, the comments they made about March of last year and how it fueled into April and there was definitely some pent-up demand that was there in the month of April last year. So, we are feeling this. To me, this feels much more like a typical April than it does to any other thing. I mean, I don’t know that it’s any untypical. I don’t think that it’s horrible price not home, we are loading our trucks and our utilizations up and all of that stuff, but it’s just not overwhelming with freight sitting around and us trying to figure out how to cover it. So, that’s – that’s the background. And then as I look at on the refrigerated side of the business, it has been for the month of April, it’s been a good month. And the refrigerated side similar to the expedited side and that is I think the supply chains are very fluid and we are having to hit the windows out there, but there is – I don’t feel like that the customers have got any major backups going on. I think that they are in pretty good shape and they have got inventory levels low and they are counting on us to deliver it, but because there is no weather issues and because the rail is running a little bit better than what it has previously, some of that freight is moving on the rail that should be moving on the rail. There is no panicking that it’s happening that I sense from a customer standpoint. And so I guess the best way to say it’s more fluid. And the expedited e-commerce just continues to grow and we sensed that in the month of April that, that business is continuing to grow for us. I guess we are the only – because I know it drives – starts with me, it drives me crazy with it here complaining about, I need some more freight and our utilization is up 5%, but that’s kind of the way that it is right now. I don’t know if I did it to stop answering your question, but we are moving on trucks, but if there are spot here and spot there that I could use more freight, yes. Is there on another day? Do I have additional freight? Yes. But it’s now causing any butt chewings from customers and so I got to believe that their supply chain is moving quite nicely. Our customers are giving us the rate increases that we are negotiating with them and we are getting to a number that makes us and them happy. They still want our trucks. And I don’t see if the customers are saying where is the freight, but I also think that we are operating in a 1% or 1.5% of good GDP environment also.
Todd Fowler: David and all of that is very helpful and we are not trying to be knit picky. I just think that we are wrestling with some of the same things that you guys are maybe thinking about and maybe to paraphrase, more than anything it feels like we have been in an atypical environment for the past four or five quarters and it feels like that we are shifting to more of a typical environment and we all have a short-term memory, we forget what it felt like 2 years ago and we will be more into that normal environment. We are trying to make sure that we are not missing maybe a bigger inflection point or something that’s dramatically different?
David Parker: Yes. And I agree with everything you just said. And again, I think that we need to make sure that we – all of that is happening during an economic GDP that I don’t think any of us are going to be happy with what the numbers are.
Todd Fowler: Sure, okay, that makes sense.
David Parker: The other side of that is that I am on the Federal Reserve Transportation Board and we had a meeting two, three weeks ago in the same that we are all trying to figure out in those meetings is there is $25 and $30 a week fuel – gasoline savings that every consumer is getting, when does it start working its way into the market and of course, they don’t know no more than us on this phone know, but the thing is, is that they do feel very, very confident that $25 or $30 a week savings in people’s pockets will work its way through the economy and that’s going to be a major deal whenever that starts happening.
Todd Fowler: Yes, I would agree with that. And I think that there has been some expectations to see that maybe a little bit surprised that we haven’t. And again, thinking about your different businesses, I mean, you could see it on the refrigerated side and not on the expedited side or vice-versa and so it’s helpful to get your perspective on that? Just the last one that I wanted to ask and that maybe this is for Joey, but I know that you guys have been doing a lot on the driver recruitment front it seems like you are continuing to make progress there. Can you just talk about what you are seeing in the driver market? Is it better retention of existing drivers? Is it some success on the recruiting side? And is it just drivers from different carriers? Are you seeing people coming in from outside of the industry? What kind of your view on the driver market is at this point? Thanks.
David Parker: Yes, it’s been really neat to be able to see the fleets start to grow again and first of all, that margins get to the point to where we were comfortable with growing again first. Second is can you do it and so actually been able to see the progress the last three or four quarters has been a lot of fun. I would say as it sits here today we look at both retention side and the recruiting side and the majority if not our retention, our turnover is up a little bit across the group. It’s up about 3 percentage points. It’s a battle. It’s a tough, tough, tough, tough market out there. And so that’s up a little bit. So, obviously that tells you if that’s up, then all the success of being able to grow the trucks is from the recruiting side. And I think that couple of things, nobody likes to talk about how you are able to grow your trucks. I think that one of the things is the student market versus the experienced market, CTG historically has been a heavy kind of student company, let’s call it, 40% to 60% of the new hires each weeks have been students versus experienced. Schools are in a sweet spot right now and they pretty much – they have got the market that they would like. And so the partnership building for the marketplace is frothy from the carriers to the schools, and I don’t see that slowing up at all and probably we will get lot more competitive. I think that we have done a few things on the expedited side to kind of help explain our products a little bit better to people that are thinking about teaming up. I think that’s been impactful. And then lastly, one of the things that helps you is when somebody is thinking about a change, drivers talk and they want to talk about miles and what kind of miles you get in and we are getting good miles, pretty much on all the fleets right now. I mean, dedicated but our refrigerated product continues to improve, expedited numbers hitting 18 years as I said. So that helps a lot. But still since the day people want to get home, they want to get home frequently, trucking is a tough job. And so we are chasing that issue. So I just think it’s going to be a slug-out battle for the foreseeable future on the driver side and you just kind – and you got to keep your nose down and keep doing what you think works. For a fleet to be, I have seen some numbers and there is some pretty impressive equipment, I mean truck gross out there. So being able to grow GDP 2% to 5% on your capacity side, I think is a good target. And I think as Richard said in the script, I think we have got a good shot to do that in the group this year. But I think, one of the things that’s just continuing to really excite us has been able to continue to grow the teams just because of all the things we are talking about, e-commerce, the organic food growth, so that’s something that we are really, really excited about.
Todd Fowler: Well, good. I know it’s not easy, but you guys are making it a little bit look easier, so thanks for the time and perspective this morning.
Operator: [Operator Instructions] Our next question comes from Tom Albrecht from BB&T.
Tom Albrecht: Yes. Hey, Richard, on the insurance, sometimes when you have a rough quarter, it’s easy to think whether it will be normalized the next quarter, what are your thoughts on that, how quickly it would be, I am sure it’s not going to be over $10 million again, but just some thoughts there?
Richard Cribbs: Yes, so far so good this quarter. Thank you, Lord. And we also have been doing some negotiations with our insurance provider and feel like that’s going to help with some premiums going forward. So I feel pretty strongly that the next couple of quarters are going to be significantly better than what we actually had in the first quarter.
Tom Albrecht: And then, David, I know you have commented on a lot of demand metrics, but what’s your crystal ball saying about the produce season?
David Parker: It is going to be a good one. Yes, I am – it may be the – to me, January and February and March was the best produce season that I have seen in many, many years. And from Yuma into the Southern California now it’s starting to work its way up a little bit into the valley there in Fresno and places. But we have done – our produce has done extremely well. So I am very happy. And I think it’s going to be a good year for produce.
Tom Albrecht: Okay, good to hear. That’s all I had. Thank you.
Richard Cribbs: Thanks, Tom.
Operator: Thank you. Our next question comes from Alex Green from Chattanooga Times.
Alex Green: Hi, good morning guys.
Richard Cribbs: Good morning.
Alex Green: I just had a couple of quick things about talking about drivers, it looks like here you guys had a higher seated truck percentage, can you just kind of talk about what you think went into moving that number up, whether it was team incentives, whether it was something else. I also see that there was an increase in average length of haul, do you think that played into the higher seated truck percentage and where do you see that number going forward?
Richard Cribbs: Alex, I think the length of haul increase and actually it’s not just teams, if you go study the length of the haul, even our dedicated products are quite a bit on the length of haul side. So I think length of haul drivers, further wrong – long routes they can, but the least amount of stops they have, they can get, it’s a plus. So anytime you could stretch them out a little bit and still get a load off unless its crosses a couple of days and gets into days are services it’s a good thing. So the team side is driving a lot of that, A. B, as far as the things that are driving seated truck count, kind of – we kind of already talked about, but just a lot of the initiatives that we are doing across all the groups. It’s mainly on the recruiting side. It’s all public if somebody wants to dig around and find and kind of see what one company is doing versus the next. But I just think we are kind of doing, giving our drivers good miles, doing we are saying we are going to do and trying to get them home when they need to be at home, but yet still run freight and that’s kind of what we are doing across all the companies is keep it pretty simple.
Alex Green: Great. I appreciate you guys.
Richard Cribbs: Thanks, Alex.
Operator: Thank you. [Operator Instructions] At this time, I am showing no further questions.
Richard Cribbs: Alright, well, thank you everyone for listening in on the call and being interested and we will talk to you again next quarter.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. You may now disconnect.